Operator: Good morning, everyone. Welcome to our full year 2025 results media briefing. Today, we have with us our Deputy Chairman and Group CEO, Mr. Wee Cheong; and our Group CFO, Mr. Leong Yung-Chee. As usual, Mr. Wee will begin first by giving a broad overview of how our franchise has performed, the operating landscape we are operating in, and then Mr. Leong will then go into more details on the financials and business performances. After both presentations, we'll be taking questions from the media. So I would now like to invite our CEO to get us going. Mr. Wee, please.
Ee Cheong Wee: Good morning. Happy year of the horse. Thank you for joining us today. Well, as we enter 2026, the global environment continued to remain very fluid, geopolitical tensions, ongoing shift in supply chains and evolving trade and tariff. However, operating conditions in our core markets have remained broadly supportive. Across ASEAN, momentum towards deeper regional integration is building up. We look at trade, capital flows and cross-border investments continue to expand, reinforcing the region role as a key growth engine. This create opportunities for well-positioned regional bank like UOB to support clients across ASEAN. Now against this backdrop, we delivered a resilient full year operating profit of $7.7 billion in 2025, 4% down. Our diversified business model remains a core strength. Net interest margins moderated as rates declined but strong fee momentum across wholesale and retail businesses helped to offset the impact, lifting our full year fee income to a record high. On a quarter-on-quarter basis, trends were positive. Net interest income increased 4%, margin rose to 1.84% as we lowered funding costs. Net fee income was up 2%, while expenses remained flat. On the asset quality front, following our portfolio review in the third quarter, we proactively strengthened our provision buffer. Credit trends improved in the fourth quarter and are moving in the right direction with NPL ratio low at 1.5% and total credit cost at 19 basis points. Our balance sheet remained strong with higher CET1 ratio at 15.1% and robust liquidity ratio. The Board has recommended a final dividend of $0.71 per ordinary share, bringing our full year dividend to $1.56 per share. This represents a payout ratio of around 50%. In determining the final dividend, we excluded the preemptive provisions of $615 million recognized in the third quarter last year. In addition to our regular dividends, we also returned excess capital to shareholders through a special dividend of $0.50 per share, paid over 2 tranches during 2025. We remain committed to our capital return plan announced last year ongoing till 2027. Our diversified income stream helped ensure earnings stay resilient even in uncertain conditions. And we see promising momentum in our ASEAN strategy. We see increasing contribution from our ASEAN-4 markets across both wholesale and retail business. In fact, just for your information, if you add the ASEAN-4 total income is up 5% year-on-year versus the group total income down 3%. So the ASEAN is actually positively trending up. Now let me talk a little bit about the wholesale banking. It also delivered a solid growth in trade, transaction-related activities and deposit growth. For trade, I think 2024, we generated $36 billion, 2025, $45 billion, actually a growth of 23% year-on-year. Global markets also benefited from active client hedging amid market volatility. Customer-related treasury income hit a record high. Retail banking delivered healthy growth across card billings, up 6% year-on-year. CASA up 12% and high net worth AUM up 6% as we deepen customer relationship across the region. Our wealth business, our wealth franchise continued to scale with net new money inflow lifting AUM to $201 billion. And the invested AUM mix continued its steady increase. Our digital wealth momentum, this is dealing with the mass affluent market actually remained very, very strong with sales more than double year-on-year. That is actually applied through our TMRW apps. Just to tell you the volume, I think for 2024, we generated $1.57 billion. For last year, we generated $3.84 billion, up by 144%. That is through our digital platform. Now looking ahead, we expect the region growth to continue to be powered by structural trends, including digitalization, infrastructure investments and deepening regional innovation. We are confident that our enlarged regional scale, stronger platform and capabilities, we are well placed to grow in tandem with the region. At UOB, our strategy is clear and consistent. We are deepening our strength in connectivity, enhancing our expertise and digital capabilities to support the flow of trade, capital and investment across ASEAN and Greater China and with the rest of the world. We are also unlocking synergies such as through our One Bank program across wholesale and retail customer base, strengthening our digital wealth platform to enhance our services. With our strong balance sheet, network and franchise, we are well placed to support our customers through cycles and capture emerging opportunities. Our guidance for this year is low single-digit loan growth. Full year NIM of 1.75% to 1.8%, high single-digit fee growth, low single-digit operating cost growth, total credit cost of 25 to 30 basis points. Thank you for continuing to support us. And now I invite my CFO, Yung-Chee, to share more.
Yung-Chee Leong: Thank you, Ee Cheong. Good morning, everybody. Let me take you through the financials update. So for the full year 2025, our net profit came in at $4.7 billion on the back of operating profit of $7.7 billion. The fee income for us was at a record high. What you see there is the net fee income number. On a gross basis, that number actually came up to $3.5 billion. On net interest margin, I think this is something that comes up quite often in terms of media and analyst questions. Our full year NIM was 1.89% on the back of continued pressure on benchmark rates. But actually, what's interesting is if you look at on the right side, the fourth quarter NIM for us was at 1.84%. If you recall, our third quarter NIM was at 1.82%. I can discuss more on the NIM in a subsequent slide. On trading and investment income, we have all-time highs for customer treasury income but the overall trading and investment income for the full year came in slightly below $1.6 billion compared to the year before because last year was exceptionally well. Next please. If I go through some of the numbers on this page, maybe specifically for fourth quarter, if you look at the operating profit line, we generated $1.8 billion of operating profit, slightly below quarter-on-quarter. But if you look at the net profit line, it's $1.4 billion. Our expenses remained stable at roughly $1.5 billion. And total credit cost for the quarter was 19 basis points. Next, I'll go through some of the segmental breakdown in terms of the financials. If you look at our group retail operations, profit before tax was at $2 billion. This income was largely supported by double-digit growth in wealth amidst some of the pressures from lower rates as well as market competition. Our credit cards business continued to achieve new highs. On the bottom right, you see that the gross card billings grew by 6%. On the left side, the corresponding cards income, this is net, it's at 1%. But on a gross basis, that figure is actually 8%. So both wealth as well as cards business is demonstrating strong growth. The credit card business for last quarter or for the year effectively was because of our loyalty rewards alignment in Thailand. But that was a onetime cost. So going forward, we expect that to more closely mirror our gross rate. Asset quality for the retail business remains sound. Maybe I'll move to wholesale banking next. On the Wholesale Bank, profit before tax declined amidst lower rates and keen competition. Our transaction bank continues to power about 50% of wholesale bank's income, driven by largely very encouraging trajectory in our CASA business and our trade business. As CEO mentioned earlier on, our trade loans actually grew by 20-over percent in the year. If you look at the bottom of the total gross loans, I think you will see the trade numbers growing from 35% to 45%. That's more than a 25% growth year-on-year. Elsewhere for the wholesale banking business, if you look at our deposit growth as well, at the bottom, you see the deposit growth at 7% but our CASA portion of the deposits grew double digits, leading to overall CASA ratio for the wholesale banking business now at [ 6. ] So retail's CASA is 57%, wholesale at 60%. Overall, the bank's CASA ratio is now at about 58.5%. Next on global markets. Year-on-year, our global markets business grew 23%. This is again an all-time high for us for our global markets business. It's largely led by customer treasury activities from hedging as well as wealth demand. The noncustomer portion of the business was positioned to capitalize on liquidity and trading conditions. So there is some normalization in the fourth quarter but year-on-year, you saw a 23% growth in this line of business. Next, I'll go through some of the specific financial categories. Let's talk about net interest income first. Overall, net interest income inched down by about 3% on the back of largely interest rate movements but it's also negated by the fact that our average interest-bearing assets grew. So at the bottom, you will see $477 billion to $495 million. That's demonstration of the loan assets that we grew over the year but it was not enough to mitigate the pressures from benchmark rates. Net interest margin, however, for the year, even though it's at 1.89%, if you look at the quarter-by-quarter trends, third quarter net interest margin, we reported at 1.82%. Fourth quarter, we reported at 1.84%. The red bar is actually showing the pressures and effects of the asset repricing, both because of rates but also keen competition. The green bar is the actions that we've actively taken to mitigate some of the funding costs. And we've also done some changes in mix in order to balance the requirements of having the right NII versus NIM outcomes. On this page, what's interesting to note as well, a natural question would be, although that's a reported fourth quarter, where is exit NIM today? As of the end of January, our exit NIM is at 1.82%. So you will see that NIMs are sort of bouncing around that level already, giving us some confidence in terms of where NIM and SORA rates are looking like for 2026. Next page. We mentioned earlier on that our fee income is at a record high. This page shows that year-on-year, our fee income grew 10%, and it's consistently across all categories, whether it's in terms of our loan, our wealth, credit cards as well as others. Next. Expenses. We have continued to maintain very disciplined on our cost while prioritizing some of the technology and regulatory investments. Year-on-year, our overall cost actually fell 2%. But when you look at it from a cost-to-income ratio, it picks up because income actually fell. Next. On performing assets. Our NPL ratio remained broadly stable. It dipped slightly to 1.5%. If you look at the bottom of the chart, you will see that our NPA formation has come off from the $800 million in third quarter. It is now just shy of $600 million. The trend is for NPAs to continue downwards for us. We did have some spike in the third quarter but it's now getting better. Next page on the provisions. So again, our third quarter provisions caused a spike in terms of the specific credit cost as well as total credit costs. But for the fourth quarter, this trend has normalized. Specific credit cost is now at 26 and our total credit cost at 19. And if you recall, our guidance previously on total credit cost was a normalized range of 25 to 30. Next, on provision coverage. With the exceptional provision top-up that we did in the third quarter, we brought our coverage up to 1%, and it remains at 1%. What's also interesting is NPA coverage at the bottom from 100% to 97%, but our unsecured NPA coverage actually went up to 254% once you include the collaterals into consideration. Just to give you a snapshot on where the key hotspots are. We highlighted earlier on that the key hotspots for us in terms of credit costs are in Greater China and in U.S. We indicate here the size of the loans in those markets as well as the credit costs associated with it. So on the left-hand side, you would see that for Greater China, the credit cost from 2024 to 2025 went from 40 basis points to 72 basis points, whereas in the U.S. from 173 to 110 is still elevated. But directionally, we have taken active steps to restructure to recover some of the impaired assets in that country. On the right side, it shows you what we have actively done to increase the provision coverage. So for Greater China from 1%, we raised it to 2.1% and in the U.S. from 0.8% to 4.7%. What this goes to show you and to assure our investors is that the provisions that we put aside for these 2 hotspots are more than adequate for us to navigate any potential issues coming from these hotspots. The following page talks about the customer loans going up 4% year-on-year. It's stable quarter-on-quarter. I think I can probably move a bit quicker through this page. Funding. From our liquidity and funding positions for our continued CASA growth, it continues to remain strong with our LCR at 147% and NSFR at 116%. These are all comfortably above minimum requirements. Our CASA deposits, as I mentioned earlier on, on an aggregate basis is now at 58.4%. Next on capital. Capital position remains robust with CET at a healthy 15.1%. Even on a fully diluted basis with Basel IV requirements is 14.9%. This allows us the ability to continue to deliver steady and sustainable returns for our shareholders. On the last page I have is on dividends. As mentioned earlier on by CEO, our core payout ratio continues to be 50% as we committed. And this includes the adjustment that we did, when we did the provision for Q3, we said we would adjust it so that shareholders will not be worse off. Overall, the payout ratio at 50% means a total dividend for us at $1.56. The final dividend component of that is $0.71. I would also mention in terms of the capital return plan that was committed to shareholders in February of last year, $3 billion. Of the $3 billion, we have already done more than 50% executed, $1 billion of which was in the form of special dividends and another $2 billion in the form of share buybacks, of which we have completed 1/3 of the plan. So in total, more than 50% of that capital return plan has been done, and we are well on track to execute on the rest of it across the next 2 years. That brings me to the end of the presentation. Maybe we open up for questions.
Operator: Thank you, CFO. We will now take questions. [Operator Instructions] [indiscernible]
Unknown Attendee: [indiscernible] with Bloomberg. I have 3 questions today. My first is for Mr. CEO. Why did you revise down fee income growth for 2026 to high single digit from a year earlier, a range of double digit and high digit.
Ee Cheong Wee: So what is your question?
Yung-Chee Leong: The fee income growth, we had revised down to high single digits. And I think the backdrop of it was our loan growth for the year for 2026, we expect it to be low mid-single digits. But in terms of fee income, there are multiple components. There's the loan component, there's credit cards, there's wealth, both credit cards and wealth and customer treasury, investment banking, all those are all still demonstrating very strong growth. The primary reason for that adjustment was more because of more conservative loan growth outlook.
Unknown Attendee: And where do you see UOB's 2026 growth trajectory from here? And what are some of the biggest risks you're anticipating?
Ee Cheong Wee: Well, I think the market is very uncertain, right? Because this is something that is a little bit beyond our control. But the ASEAN we are talking about, I feel quite confident. As you can see, the ASEAN-4 actually [indiscernible]. So we continue to focus on connectivity, continue to focus on less capital-intensive activities. Trade. You still need to trade, cash management. So these are all the initiatives we want to make sure that we are able to weather rather than just purely based on loan growth. It is very uncertain. Nobody is sure.
Unknown Attendee: And lastly, how you will be using AI to boost productivity?
Ee Cheong Wee: I think he's on top of this. I think definitely, we train our 20,000 people. We tied up with the industry expert at Accenture, see how we can spearhead AI initiative. I think it's a tool. I think it's important. It's an important tool. I want to train my people to make sure that they are taking full advantage of the tool to increase productivity.
Unknown Attendee: Have there been or do you anticipate any changes to headcount due to automation in the workforce?
Ee Cheong Wee: I think certain job, maybe you can't avoid it, right? I think our challenge is we do have HR initiative program to make sure that we are able to convert some of these. I think important is this environment, we -- the last thing we want is to get [ free of cost ] to our staff to give them the opportunity to learn as much as possible. If they learn, I think that will be -- to me, I think that is most important, learn as much as possible, take full advantage of AI. And we have a dedicated unit to look at AI to see how we can transform that. And then if we hit a certain optimum scale, then we know how to reallocate our people, make better use. So at the end of the day, the ownership is the first thing.
Yung-Chee Leong: If I could add to that, of our 30,000-over staff, most of them have all been given AI tools at their fingertips already today. And the only countries that have not been rolled out to is because of regulatory considerations. So any country that allows us, we have already rolled those tools out to our staff. And about 20,000 of our staff have already gotten some of the basic training in terms of AI. We have set up an innovation academy to roll out training programs for our staff. Now we see these tools as enablers to enhance productivity, to help us gain insights into customer behavior, to improve service quality for customers, et cetera. It's not a tool for cutting headcount. So the focus continues to be enhancing client outcomes. It's about enhancing our banking relationships with customers. It's also helping our staff with advice-driven solutions so that we can enhance their productivity.
Operator: Any other questions? Maybe Asian Banker, Russell.
Unknown Attendee: Russell from the Asian Banker. Firstly, congratulations, Ee Cheong and Yung-Chee on the resilient set of results, I mean your strategy on fee -- driving fee income from the retail side and the wealth side has really paid off. My question is on the trade loans. So recently, during last year's ASEAN conference, there's been talk about the global supply chains and how businesses are moving from cost and efficiency to more resilience and responsiveness. Trade loans has been a huge part of your growth. How has that allocation shifted between trade on the intra-ASEAN side and Asia and Greater China? How has that shift changed over the past year? And how has your bigger scale in the region contributed to [ your FOB ] having a greater advantage in this space?
Ee Cheong Wee: Well, actually, the trade loan constitute about 13% of our total loan. It's not that big. So we are actually working on that because it's more capital friendly, right? And also short term, right? Even the volatility, this is why we are emphasizing on that. The growth is actually double digit. But in terms of percentage of our total loan is about 13%.
Yung-Chee Leong: That's right. So to give you a deeper sense on that, our overall loan portfolio grew 5% but the trade loans component of it, that 13% grew at 26%. So the speed at which trade loans are growing, again, this reflects our connectivity, the whole ASEAN trading economy, that growth remains very resilient. So despite what you hear about the geopolitical tariff situations and so on, I think there's active realignment of supply chains and the trade loans actually demonstrate that. Why we concentrate on trade loans, even though the margins are slimmer is that trade actually encourages a lot of other activities that are cross-selling in nature. For example, if you do trade, they tend to be cross-border. Cross-border requires FX. If you are doing the FX, then you could pretty much package together interest rate hedging, cash management. So the broader wallet associated with trade isn't because of trade alone, but it actually has implications on how we shape the business. So trade continues to be a very active, very important focus for us driving our ASEAN footprint.
Unknown Attendee: And then another question, if I could add. On the SME banking side of things, I think you're anticipating single-digit loan growth for this coming year. How is that impacting how you conduct banking with SME clients? Are you pivoting more towards fee income for that? I understand that the UOB has quite a whole entire ecosystem for SME clients.
Ee Cheong Wee: I think generally, I would say we are very much market driven, right? SME customer because of the market uncertainty, they themselves also take a wait-and-see attitude. It's not like I want to give them loan to waste. They are also cautious, right? And we also share our experience, our advice, what should they do? And if you look at even today with the latest tariff, right, from Singapore 10% to 15%, that is overnight thing. So they also have to wait and see but it's something that they cannot plan. So this is where you will be, we are right by our customers. We have to help them to how to restructure, how to prolong the tenure, how to help them to grow. This is where our franchise value is, right, rather than just focus on ourselves.
Operator: We take a question from [ Wei Han ] from BT.
Unknown Attendee: Wei Han from BT [indiscernible]. May question is on the tariffs that you mentioned. And also I think in January, we sort of saw the Venezuela crisis fairly short lived but how does all this sort of impact your ASEAN outlook for 2026 and the opportunities you sort of see there?
Ee Cheong Wee: I think definitely, I don't have a final number yet because it just a but [indiscernible]. But the whole intra-regional trade is also irregardless of U.S. look at China trade with ASEAN, I think the number seems to be quite encouraging within ASEAN. So we have no choice. We have to support each other. I still think that is quite robust. You can see from the trade volume. Last year, we started this and this year. And then, in fact, the tariff be even higher. Today, we try to equalize. And the fact is if we equalize everybody, then there's no competitive advantage or disadvantage to understand because now U.S. Supreme Court say everybody is 15% of tariff. There is no advantage to you or disadvantage.
Yung-Chee Leong: If I dial back a little bit in history as well. We sat here in April last year reporting on first quarter results, 2 weeks after Liberation Day, and we were like, oh, no, all this tariff being announced, what's going to happen? And if you look what happened in the subsequent quarters was, yes, there was some dampening effect in terms of loan growth because customers in general, corporates took a step back. We had to reassess and realign our supply chains and where do we position our capital and where do we place our factories and so on. So loan growth did dampen. But by and large, the activities continue. Trade continue. The supply chain shifted, which is why you see year-on-year, our trade loans, our growth in those activities continue to be double digit. So fast forward to now, you see realignment in tariffs again. I think there will be some time required for the system to absorb, comprehend and react to it but we are confident those activities will continue. As in the company's business activities, we'll find a way to navigate through that and continue. The important thing is for us to stay focused on helping our customers navigate that.
Unknown Attendee: So the credit cost, can we look at Slide 14 again? Because over there, you've broken down your Greater China and your U.S., okay, hotspots. So of the Greater China hotspots, what is Hong Kong CRE? Is it all -- is it -- and what portion you don't have to give us a rough double digit -- low double-digit teens, that sort of thing for Hong Kong versus China itself? And is it all CRE for both those buckets? And also for the U.S. bucket, were they -- were you lending directly -- were they mortgages? Or were they like loans to funds because you had a financial institution group customers.
Yung-Chee Leong: Okay. A couple of questions. Maybe I'll deal with the U.S. one. It's a little bit easier. The hotspots have been commercial real estate, right? We do lend.
Unknown Attendee: All those billion, whatever billion was the...
Yung-Chee Leong: Not all of that is commercial real estate. That's our loan book.
Unknown Attendee: The $45 billion and $17 billion is the loan book.
Yung-Chee Leong: That's the loan book of our business there, right? That's not the problem loans. If that was problem loans, we will be. No, no, that's the size of our loan book there. But in terms of the problem that we've been facing, specifically in the asset class of commercial real estate. And that's only a small fraction of that.
Unknown Attendee: A small fraction as in 1%, 2%.
Yung-Chee Leong: Yes. 1% approximately. So it's specifically commercial real estate. And your other part of the question was, are these to clients, are these to funds? It's a good mix. Some of it are to our clients whom we support network clients from Asia who have decided to operate in the U.S. There are some who are our global financial institution sponsor clients as well. So there's a good mix of that. Coming back to Hong Kong, I think the similar question. You mentioned about mortgages and so on. We actually do not have a mortgages -- significant mortgage book from Hong Kong. The problem assets, again, are commercial real estate related. We don't give the breakdown on how much of that is Hong Kong versus China.
Unknown Attendee: Okay. So in the -- so what is your outlook for -- I mean, I know you said it's normalized but what is the outlook for the asset quality this year?
Yung-Chee Leong: I think given some of the macro conditions, I think there is still some potential challenges to be navigated, right? But that said, I think we have preemptively already anticipated many of these. So what we see in our pipeline, what we see are the potential hotspots, we have, in the last quarter, put aside that $615 million of provisions because we were anticipating some of these. So what I would say is that our buffers that we have put aside today allow us to navigate these potential hotspots for us and stay within our guidance of credit cost between 25 to 30 basis points.
Unknown Attendee: Okay. So can I ask one more question. You had a small write-back in 4Q of [ 69 million. ] What was that? I mean, was that a recovery? Or was that...
Yung-Chee Leong: Let me check on that.
Unknown Attendee: In the fourth quarter. And also, DBS...
Yung-Chee Leong: Yes, there was a write-back.
Unknown Attendee: Also on the other part, your peer has been very open about how much it has in management overlay. And I think at one point, you also -- one peer but you have also talked about your overlays in the past, which were -- I mean we don't have to give the exact number, $1.358 billion but it used to be above $1 billion towards the $1.4 billion area. So could you just give us an idea of whether it is around there below or above just.
Yung-Chee Leong: I think we'll stick with not giving that information as we have not given it before. But again, I'll emphasize that the GP buffer that we put aside is 1%. And if you look between Q3 and Q4, even though we raised it to 1% at Q3, it's 1% at Q4.
Unknown Attendee: Okay. So does that have to calculate?
Yung-Chee Leong: Yes, it's 1% at Q4, and it's enough to support our guidance. Yes. That's actually something very important to note. The unsecured number, which when you look at credit cost, there are quite a number of metrics to look at, and it looks at different things. The unsecured number is after taking collateral into account, what is the portion that is unsecured? How much coverage do you have against unsecured? So at 25%, we are actually very well covered in terms of the exposures to unsecured.
Operator: Any other questions? [ Rei ] from Reuters.
Unknown Attendee: I am [ Rei ] from Reuters. Just a question. You mentioned about ASEAN growth. There's also been some headwinds facing the Indonesian market in recent times. How do you see that impacting the business and the outlook for the market?
Ee Cheong Wee: I think we have to focus on long term. Every day, you talk about short term, very difficult to manage an organization like this. But short term, I can tell you, Indonesia, our loan exposure is 3% of the total loans, 8% in Thailand. Thailand also going through all the volatility. End of the day, I think we have to take a look at the whole ASEAN, Indonesia being the biggest country in ASEAN, 300 million population. There is enough opportunity for us. Obviously, it's a selective customer choice. And I still think there are opportunity there, okay? And the fact is today, if you look at most of the foreign banks, they already exceeded the market. Most of them all they slowed down. That actually gives us a lot of opportunity being closer to the ground, being able to navigate a lot more nimble and faster. But having said that, our focus is still basically on trade, right, so that we are a little bit more flexible. But unless the customer is good, yes, we're prepared to give a term. So the overall, if you can see the growth despite all these tariffs, ASEAN-4 is actually growing quite well, right? We still can continue to grow because we have a very small market share. If you look at Indonesia, 300 million, 3% I can grow to 5%, right? Thailand, yes, going through the up and down, but I think I believe things are stabilized. You can see the portfolio quality seems to be sustainable.
Yung-Chee Leong: And Vietnam, is still exhibiting high single digits in terms of GDP growth. And so I think we look at the region as a whole, there are continuing opportunities for us to..
Ee Cheong Wee: And it's a portfolio, right? It's not like you be only confined to a hope.
Yung-Chee Leong: I think just to address Chanya's earlier question on Thailand, not to forget Thailand. I think the stability there actually encourages FDI as well. So it's definitely a country that we are very optimistic about as well. We -- our operations last year, we had onetime credit costs as well as loyalty rewards. Those were behind us. We actually believe that the Thailand operations this year will contribute more significantly for us.
Unknown Attendee: You say Thailand will attract more FDI.
Yung-Chee Leong: The political stability, I think encourages more FDI. And it will solidify its position as one of the key nodes in the supply chain in this region.
Ee Cheong Wee: ASEAN is still generally quite attractive. You look at the family officers coming in. We're talking about trillion. And I think these are the kind of liquidity there. And ASEAN, I think, is a little bit more flexible. Yes, there are some political risk. But in terms of structuring, in terms of union, in terms of -- I mean, and cons. You tell me, which region is better? You tell me, U.S., Europe, where? So we are in this region. So we are -- and it's proven. And we are just dealing with ASEAN, which is within our reach, it's easy for us to.
Unknown Attendee: If I can add one question, the net new money has been quite positive. Do you see that much growing in 2026?
Ee Cheong Wee: No, I think it will continue to grow. It will continue to. And this is something that the bank is making a big effort to see how we can not only just supporting loans, right, how to -- because we do have a very strong private banking, our investment advisory unit within the private bank has actually done very well. As I -- just now in my speech, the digital platform. These are people, like every one of you, the average size [indiscernible]. People put money, they're able to generate good return, 144% in terms of growth. And this is just the beginning. In terms of number of customers, it's still quite limited. But in terms of volume. So this is where I see the power of distribution and also the trust that the customer have with us, not only just Singapore, the whole region.
Yung-Chee Leong: The wealth income grew 14% year-on-year. So that's an area we think continues to be a highlight and bright spot that we want to focus on coming to 2026 as well.
Unknown Attendee: Ask about coal financing. Do you still -- do you finance current customers of yours who decided to buy a coal plant?
Yung-Chee Leong: We have stopped financing new coal plants or new projects involving coal since a few years ago, I don't remember, which year.
Unknown Attendee: Including nickel. But let's just focus on coal for the time.
Yung-Chee Leong: So we have stopped financing new coal projects or new clients doing coal projects since a few years ago. We can come back to you on which year..
Unknown Attendee: 2 years ago but we will confirm the year.
Yung-Chee Leong: However, that said, if existing customers with existing facilities with coal, our priority is to help them transition out of it. So while not doing anything new or more, the existing facilities that we have to clients, we are actively -- every time we refinance we actually put in encouragement, incentives for them to transition.
Unknown Attendee: I think you asked about nickel.
Unknown Attendee: No, no, no. I think nickel plant is powered by coal.
Unknown Attendee: So how far down the -- what is it? What are those things?
Yung-Chee Leong: The problem is a value chain.
Unknown Attendee: The value chain you say nickel plants are powered by coal. So do you finance the nickel plant?
Yung-Chee Leong: It is difficult to answer that precisely. So let me give you an example, right? So if we finance coal mining equipment companies, they are not doing coal-fired power plants but they're doing equipment. But equipment can be used to mine other types of products as well. So do you not finance that? So I think you have to be quite deliberate here. We are very focused on addressing climate considerations, coal-fired power plants, right, CFPP. So those are areas that we have very specifically deliberately articulated what we will do, what we will not do. But it's a slippery slope to then start broadening that definition out to many others because you need coal-fired power plants to do power generation for power companies and to use start financing power companies. So it's hard.
Ee Cheong Wee: So our commitment was made in 2022, about 4 years ago.
Unknown Attendee: With what's happened in the U.S., are you still committed to your -- that road map to whatever net zero or...
Ee Cheong Wee: Yes. Yes. We are still already withdrawn. We are still -- I think it's the right thing to do. We are facing it. We are doing it in a more practical way. The environment is for the future. It's not because of the regulation we are doing.
Operator: Any other questions?
Unknown Attendee: I mean just to touch back on the AI. Can you give us some insight as to which parts of the bank are furthest into AI adoption? Is it wholesale? Is it bank retail banking?
Yung-Chee Leong: We are going -- I can give you some examples but it cuts across the bank in multiple areas. I think what's important for us is now to focus on foundation and knowledge layers that we built, and we can then use that to quickly replicate across other parts of the bank. But some key areas of use cases, for example, are in customer servicing, contact centers and branches. Maybe one practical example is every time you have trouble, you call a contact center and sometimes you get a run around, right? This person can help you and frustration among customers grow. But part of the problem is because the attrition rate with customer service contact center operators are fairly high, they get yarded by customers all the time. It's not a pleasant job. Attrition rate is high. They are not well trained. They don't have enough knowledge and they don't address questions. And with AI tools, can you just imagine that if we are able to curate faster, better responses, whenever a query comes in, what is the appropriate knowledge and response to deal with that. That helps us address the questions, hopefully at one touch rather than multiple touches. So accelerating that knowledge-based accumulation of testing, making sure the models are correct and we are responding correctly, that's important. Part of the challenge for us is unlike U.S. where it's a homogeneous market, everybody speaks the language in the same tone and the same accent. When we use these tools to help accelerate for our staff, the listening tools sometimes misread what is said because of the different accents and expressions. So the accuracy continues to be refined, and we need to make sure that, that's done in a speedy manner to address. So sort of customer servicing is just one aspect of it. AML, KYC preventing frauds and scams, anticipating, looking at the data analytics to look at where there are new modus operandi. How do we circumvent that? That's very useful cases of our AI team is focusing on as well. So just a couple of examples to share.
Unknown Executive: We have deployed it across all our branches. Okay. So when they answer very complex thing like state accounts all assisted by the AI. So it's always with the right set of terms and conditions. So it's all deployed.
Unknown Attendee: So you still have a human interface. But the human interface is helped by AI.
Yung-Chee Leong: Yes. Yes. One example is people will call up to us what's your latest promotion rate for a certain product, right? And the promotion rates do change because we do have promotions at different times of the year. So it's important to make sure that the operators who are interfacing with customers have the most up-to-date and most accurate information at every interaction.
Unknown Attendee: Have you -- those positions that are being -- I know like the AI is helping on function. Have you stopped hiring for new roles in those departments?
Yung-Chee Leong: Not at the moment. I think given the economic climate, I think we have been very disciplined overall with our headcount but it's not targeted specifically at job archetypes. So you did see -- there's income pressure definitely in the macro sort of state. You have seen our slides on cost discipline. So that cost discipline actually extends across the bank. It's not about specific roles.
Ee Cheong Wee: The human cost, you can actually see is coming down. Partly, we want to make sure we are able to contain we're able to train all these people rather than keep increasing. And end of the day, you have a situation where, as you say, AI, are you going to retrain people, keep it within ourselves, we train them so that the damage will less.
Operator: Maybe we'll take one last question.
Unknown Attendee: Kevin from [indiscernible]. Just 2 quick questions. I think one is on what's your interest rate outlook in terms of interest rate cuts from the Federal Reserve in the coming year? And the second one is whether or not there's any comments on the potential sale on UOB Asset Management was reported by Bloomberg a couple of months back.
Ee Cheong Wee: House view is interest rate likely to cut maybe [indiscernible] but if you look at Singapore interest rate, it's already overdone. So how much would that -- I think it's quite stabilized at this point. Asset management, I think is on top of this. Yes, I think market is aware that we are -- we are looking at it. This is not something that we want to see who are the strategic buyer because end of the day, UOB, we want to have a platform to distribute what is the best product for our customers. On the stand-alone, scale is one thing but we want to make sure we offer the best product for our customer. That's our choice.
Operator: Right. That's all. Thank you very much, everyone, and have a good day. Good rest of the week.
Ee Cheong Wee: Thank you.
Yung-Chee Leong: Thank you.